Operator: Greetings and welcome to the Ramco-Gershenson Second Quarter 2014 earnings call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator instructions). As a reminder, this conference is being recorded. I would now turn the conference over to your host, Ms. Dawn Hendershot, Vice President of Investor Relations and Corporate Communications. Thank you, Ms. Hendershot. You may now begin.
Dawn Hendershot: Good morning and thank you for joining us for the second quarter 2014 conference call for Ramco-Gershenson's Properties Trust. With me today are Dennis Gershenson, President and Chief Executive Officer; Gregory Andrews, Chief Financial Officer. At this time, management would like me to inform you that certain statements made during this conference call, which are not historical, may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Additionally, statements made during the call are made as of the date of this call. Listeners to any replay should understand that the passage of time by itself will diminish the quality of the statements made. Although, we believe that the expectations reflected in any forward-looking statements are based on reasonable assumptions, factors and risks that could cause actual results to differ from expectations are detailed in the second quarter press release. I would now like to turn the call over to Dennis Gershenson for his opening remarks.
Dennis Gershenson: Good morning, Dawn. Good morning, ladies and gentlemen. It's always a pleasure to report good news; and Ramco-Gershenson's results year-to-date have been filled with good news. Let me start this morning, by first discussing the state of the company and recent transactions; followed by our outstanding operating performance during the second quarter and ending with our outlook for the balance of the year. Ramco-Gershenson's business is healthy and flourishing. We continue to maintain a fortuitous balance sheet, evidenced by our strongest ever debt-to-EBITDA and coverage ratios. The quality of tenants and the velocity of our leasing continues to accelerate, while we maintain record high occupancy levels. We have also been able to source investment opportunities in a very competitive environment, while intelligently allocating capital on behalf of our shareholders. With that in mind, I'm pleased to announce the subsequent quarter-end, we purchased two high quality multi-anchored shopping centers in leading metropolitan markets. Bridgewater Falls in Cincinnati and Woodbury Lakes in Minneapolis-St. Paul. Both properties meet our acquisition criteria including a superior demographic profile with significant population growth, healthy average based rents, high credit quality national anchors, a host of additional convenience to specialty tenants as well as and very importantly, both acquisitions include opportunities to add additional value to lease up, re-leasing and center expansions. Each shopping center is anchored by a number of the nation's top retailers. Many of whom are already well represented than our existing tenant line up. Additionally, we are adding a number of new and exciting retailers to our portfolio including H&M, Victoria's Secret, Banana Republic and Eddie Bauer. Bridgewater Falls is our second acquisition within a seven month period in the Cincinnati, Ohio, MSA. At 630,000 square feet, it's an outstanding compliment to our 460,000 square foot, Deerfield Towne Center acquired in December, 2013. Both centers are located on the affluent northern side of the city. Deerfield in the North Eastern suburbs and Bridgewater in the North West. Bridgewater's anchors including Dick's Sporting Goods, TJ Maxx, Old Navy, Michael's and Bed, Bath & Beyond increased each of these retailers presence in our portfolio and help broadening our tenant concentrations. Also, the ownership of two significant properties in Cincinnati from most greater efficiencies in these target market. Woodbury Lakes is located in the affluent Eastern Suburb of the Minneapolis-St. Paul Metropolitan area. The shopping centers, works in excellent anchor line up as well as host of specialty in convenience retailers. A unique aspect of this property, is that the center draws from well into Western Wisconsin approximately 10 miles east of the shopping center; with a very low unemployment rate, a superior demographic profile. A population growth rate of 4.5% by 2019 and the ability to add value by both increase in occupancy from a base of 89% as well as an opportunity to expand the shopping center Woodbury Lakes is an excellent at every point into the Minneapolis-St. Paul market, a metropolitan area we have researched extensively and have targeted for some time. The blended cap rate for the two acquisitions is 6.8%. We funded these purchases to a number of sources including proceeds from asset sales. Going forward capital recycling will remain an important source of funds for the Company's growth prospects and we now expect to sell an additional $50 million to $75 million in non-core assets during the balance of the year, an increase from our prior estimates. Our efforts on the acquisition and disposition front are instrumental in achieving our long-term goals including measured growth, further improvement in our already high quality portfolio and the geographic diversification of our markets. Relative to shopping center operations, we continue to generate very strong results. Our leasing efforts in the second quarter for both new leases and lease renewals combined to produce a rental increase of 5.4% for all comparable spacing, adding average base rent of $15.07 per square foot. Our total leasing velocity for the quarter was 643,000 square feet. You will note, that in both the first and second quarters; a significant amount of square footage has been renewed. This is the result of many of our most attractive national anchors recommitting to our shopping centers by extending their terms. Standouts on the new leasing front during the quarter include two leases for Stein Mart stores. Stein Mart is a new addition to our tenant roster. The first Stein Mart is located at our town and country crossing in St. Louis. The opening of this anchor coupled with the recent opening of our new Coopers Hawk Winery & Restaurant. We'll complete the value-added improvements, we've promised with the shopping center. Stein Mart joins Target and Whole Foods as the anchors to Town & Country. The second Stein Mart lease is for our Winchester shopping center in Rochester's Hill, Michigan. This store will be Stein Mart's first location in Metropolitan Detroit. During the quarter, we also achieved another first by signing the first ever non-mall, non-outlet American Eagle concept store focused on price, quality and convenience. This store will be located at our 100 square shopping center at Farmington Hills, Michigan. As a result of our leasing teams efforts. We continue to transform the character of our tenant mix as we bring new and exciting retailers to our shopping centers, improve the credit quality of our tenant roster and provide healthy rental increases. These accomplishments and our constant vigil in containing operating cost, while recovering an ever greater percentage of this variable cost category, has enabled to us continue to drive same-center net operating income. In addition to improving; our operating portfolio performance. We continue to make progress on our value add redevelopments and development projects. Coupled with our two redevelopments, where we are adding anchorage to a long-term portfolio assets Village Plaza and Merchants' Square. We have significant advanced the development of the adjacent land we purchased, as part of recent shopping center acquisitions at Fox River and Harvest Junction. We are in the process of securing all governmental approvals to proceed with our second expansion of the shops at Fox River in suburban Milwaukee Wisconsin. The construction of the second phase will more than triple the size of our original acquisition increasing the center to over 500,000 square feet. We are also finalizing leases and sales agreements for the development of our additional acreage at Harvest Junction in Longmont, Colorado a suburb of Boulder. Lastly, we anticipate the grand opening of our newest shopping center development Lakeland Park Center in Lakeland, Florida this October with 98% of our tenant square footage participating. As we enter the second half of 2014, our business prospects remain strong. We anticipate that our recent efforts will continue to generate healthy rental increases. Our value added redevelopments and our new developments will mature over the next several quarters contributing to our growth profile both this year as well as in 2015 and we will seek our shopping center candidates for purchase that meet our acquisition criteria, while promoting geographic market diversification. Additionally, we will sell nine core properties at a more aggressive pace help fund our business plan. As we pursue these objectives, we will deploy our capital responsibly always with a focus on building shareholder value. I would now like to turn call over to Greg Andrews for comments. Greg?
Greg Andrews: Thank you, Dennis. During the quarter, we fortified our already strong balance sheet. On the debt front, we completed a direct private placement of $100 million in 10-year and 12-year fixed rate notes. We also closed $75 million syndicated bank loan with a 7-year term. Proceeds from these two long-term financings were used to pay off $120 million of term debt that was said to mature in 2017 as well as $49 million balance outstanding under our revolving line of credit. Despite somewhat higher interest expense, we achieved a number of desirable goals as a result. First we staggered [ph] our debt maturities, today no more than $120 million of debt comes due in any single year. Second, we've extended the weighted average term of debt to a healthy 6.5 years. Third, 96% of our debt is now fixed rate or swapped to fixed rate and finally, we ended the quarter with no borrowing outstanding under our line of credit and $33 million in cash on hand. On the equity front, we've raised $35 million through the sale of shares under our at-the-market or ATM equity program. With freed stocks rallying through the first half of the year, we gained at prudent to raise, a modest amount of equity and in an efficient manner in order to fund anticipated investments. As a result, our balance sheet metrics improved further this quarter. Debt-to-EBITDA was 5.8 times for the quarter down from 6.3 times at year end. Interest coverage was 4.1 times and fixed charge coverage 3.0 times. In short, our financial position at the end of the quarter was strong as ever. Our balance sheet activity was undertaken with a clear purpose to position the company to execute on opportunistic investments. Subsequent the quarter end, we've closed on two such opportunities in the form of large high-quality multi-anchored community shopping centers located in Target metro markets. Both Bridgewater Falls and Woodbury Lakes provide opportunities to add value through hands on leasing, intensive management and the use of the excess land or parking field. Each also enhances the quality of our portfolio by virtue of their superior demographics and high quality tenancies. We funded to combine $150 million purchase price with the assumption of mortgage debt and a mix of cash disposition proceeds and borrowings under our line of credit. At present, we have $60 million drawn under our line leading over $170 million of borrowing availability. We also have $15 million available to us under our shelf facility with Prudential. In addition, based upon our $1.4 billion of unencumbered assets, we have the capacity to borrow another $130 million in mortgage, bank or private placement markets. In other words, we have at point access to varied sources at debt capital. Now let's turn to the income statement. Operating FFO for the quarter was $0.31 per diluted share. Operating FFO reflects two adjustments to NAREIT defined FFO this quarter. One; an add back of $860,000 for debt extinguishment cost related to our refinancing and two, an add back of $451,000 for acquisition cost related to two centers that we purchased subsequent to quarter-end. Now, here are some of the key drivers of operating FFO this quarter. Cash NOI was $34.6 million or $3.5 million higher than in the comparable quarter. This increase reflect, the NOI generated by our net acquisitions over the last year as well as a robust same-center NOI growth. In center NOI increased 3.8% this quarter driven primarily by 3% growth in minimum rent. This growth reflect higher same-center occupancy by 70 basis points. Rental rate increases when releasing fade and contractual rent escalation. During the quarter, we've recorded a provision for credit loss at $307,000 which was approximately the same as in the comparable period. Our unconsolidated joint ventures generated earnings of $816,000 this quarter. This included $370,000 from a gain on sale with of an [indiscernible] round leads to McDonalds. Same-center NOI for our combined joint ventures increased 3.2% for the quarter. Going through expenses, general and administrative cost were $5.6 million were approximately the same as in the year ago period. Interest expense was $7.6 million or $0.3 million higher than in the comparable period due to an increase in borrowings partly offset by an increase of capitalized interest related to our Lakeland Park development. Note, that the higher interest expense related to terming out debt was reflected for only one month in the second quarter. now let me say a few words about our outlook for the balance of 2014. We are increasing our 2014 operating FFO guidance range to a $1.22 to $1.26 per diluted share or $0.01 at the midpoint over our prior guidance. Factors driving this increase include our strong same-center NOI growth for the quarter and the anticipated impact of our recently closed acquisition. Used drivers of FFO growth are partly offset by the issuance of equity under the ATM program during the first half of the year and higher interest expense from terming out debt. Our business plan is simple, we seek to harvest the cash flow growth embedded in our portfolio. Vacancies below market rents, redevelopment opportunities and excess land provide us with raw material for doing so. We also seek enhance our portfolio with select acquisitions of truly superior trade areas dominant community centers. With limited new development, well located centers of the type we seek to acquire, are resilient and capable of generating growing cash flow, while providing opportunities to add value overtime. We are confident that the talented team here at Ramco-Gershenson's and Property is capable of executing on this plan for the benefit of all our shareholders. Now I would like to turn the call back to the operator for Q&A.
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions). Our first question is from Todd Thomas with KeyBanc Capital Markets. Please go ahead.
Todd Thomas – KeyBanc Capital Markets: Hi, good morning. Just a couple of questions on the acquisitions. First, Dennis they certainly have a more of a lifestyle feel to them and you even mentioned number of newer mall like tenants like H&M, Banana and Victoria's Secret better new to the portfolio. Should we read into this, that you think that these properties are sort of more attractive here today and that additional acquisitions going forward will be more like these properties that have a lifestyle feel to them. And then, I'm also wondering if you can share with tenant sales are like, if the centers I'm assuming that you get sales reports from most of the tenants at these centers?
Dennis Gershenson: Good morning, Todd. A couple of things, first if you reflect on our portfolio we have owned for a considerable period of time, Shops On Lane in Columbus, Ohio that have reflected this type of tenant mix, which we view as a combination of both convenience and lifestyle and in that shopping center, we have at Shops on Lane, we have tenants such as White House Black Market, Chico's, Soma, etc. So first of all, these tenants are not new to us. After saying that, as we observe the various retail categories that continue to do well many of these what you would call lifestyle tenants, what we'll call specialty tenants continue to do reasonably well even during some of the more difficult economic times. So to the extent that retailing is always evolving we certainly find a number of these desirable as part of our overall tenant mix and obviously, we are attempting to find the best of that group and we do have experience in leasing through them. You can also find a number of those in our Deerfield acquisition in Cincinnati and we have a very nice mix there of convenience and lifestyle. We do look during the acquisition due diligence period at the kind of sales that these tenants are achieving and for the most part, they are very strong sales. One of the things, we constantly do in asset management is review at least on an annual basis, it's not semi-annually the sales of our retailers to see who's performing well and we even go in and then talk to them about the possibility of extending leases at better economics and we talk to those, who are more challenged to see, whether or not, we can either be a part of assisting them to do better or should we be talking about earlier finding a substitute tenant for them. So on an asset management approach, we are very aggressive in making sure that all of our tenants achieve as high sales is possible.
Todd Thomas – KeyBanc Capital Markets: Okay, are you able to just give us a little more context on where the sales are at these centers?
Dennis Gershenson: At this juncture, I'm not – a number of tenants report sales obviously the anchors and the anchors are still significant percentage of this do not report sales, so the typical sales per square foot that I might be giving you maybe on a dozen or two dozen, tenants out of maybe 50, I don't know would be indicative of how the overall center is doing.
Todd Thomas – KeyBanc Capital Markets: Okay and then you mentioned the upside potential at these properties, I was just wondering if you could give any additional color on maybe where you think, the blended yields could be on the combined $150 million investment in the years ahead and sort of what the magnitude of the center expansions that you mentioned, might look like.
Dennis Gershenson: Let me say this at this point, if I could Todd. If you look at our successes historically. We've added between 150 basis point and 250 basis points to the returns that we achieve initially at our acquisitions where there are indeed the ability to add value and I think that, as a general statement you can use that as a guide post for what we expect to achieve here. At both centers, we have identified the ability to expand the shopping centers. We are already working with a number of tenants especially at Bridgewater Falls, who have been so successful that they would like to enlarge their premises, we are moving some of those around to get a better grouping of the right types of tenants in the right places and I think that, when we probably see you at the next re-conference. We'll probably have a slide or two in our slide deck that talks more specifically to it.
Todd Thomas – KeyBanc Capital Markets: Okay, great and then just last question. Just $150 million of deals completed to-date. I think you talked about $350 million to $500 million to be in sort of loose but achievable target for the year, maybe if you could just give a little more color on the pipeline today, what you're seeing and sort of what we should expect in the back half of the year?
Dennis Gershenson: Okay, well let me say this. I hope I did use the words "achievable target" in my prior comments. What I did attempt to do though, is set out a marker that our goal will have somewhere in the vicinity of $350 million to $500 million that was primarily based on the success that we had in 2013, where we bought almost $600 million worth of centers. We grow FFO by over 13% and we achieve a total shareholder return of approximately 23%, love to duplicate that again this year. The one thing that we are finding because as you'll note from these two shopping centers that these are high quality assets. We still are finding a significant amount of competition especially from institutional players for these kinds of assets, they do need all of our criteria and obviously one of our criteria has to be price. We as you assume from the blended cap rate here off, 6.8. we are paying a slightly more aggressive price than we paid in 2013, but again these value add components all come into and become a component again how we look at these assets. I think, we would be doing our investors a disservice, if we said, we got to make it to $350 million or we have somehow let them down, can we buy $350 million or more, I'd like to think that's a possibility. We do have two more assets that we are taking a serious look at, that again has significant value add opportunities associated with them, but we will always be conscious of, what can we do with an asset, what's the going in cap rate, are these accretive transactions and if they're then we'll move ahead and again quality, price, ability to add value and our shareholder interest of what will drive our acquisitions.
Todd Thomas – KeyBanc Capital Markets: Okay, thank you.
Dennis Gershenson: Thank you, Todd.
Operator: Thank you. We have the next questions from RJ Milligan of Raymond James. Please go ahead.
RJ Milligan – Raymond James: Good morning, guys. Dennis, questions on the acquisition where they fully marketed or where these more off market?
Dennis Gershenson: They were both fully marketed deals.
RJ Milligan – Raymond James: Okay, can you talk about, how you thought about underwriting the JC Penney at the Cincinnati asset?
Dennis Gershenson: Well, as we put in the press release, the JC Penney is a land lease. Our average rent is between $3 and $4 a square foot. So I wish Penney a good fortune and I hope they are incredibly successful in the future, but if they ever let this location. We get the building for practically, we get the building for nothing. So our underwriting for JC Penney here was very easy.
RJ Milligan – Raymond James: Okay, thanks and maybe just on broader comments on the opportunities that are out there today, where cap rates are moving in the market. You're looking at and if you think, we are going to see more transactions not even necessarily with you guys, but just more transactions in general or if you think pricing is getting too tight, where we might see a slowdown on the amount of acquisition activity that we see.
Dennis Gershenson: Well, what's interesting is that probably the first five months of the year, as we looked around obviously there were a number of portfolios out there, but we really found as far as high quality individual assets that was kind of dirt [ph] of opportunities. We've seen that pick up significantly, again we've looked at a number of centers and in speaking with either the seller of with the brokers pricing still is very aggressive on some. And so we have to pick through a significant pile of opportunities to come up with those centers that meet our criteria and that we believe, we are comfortable moving forward.
RJ Milligan – Raymond James: All right, thanks guys.
Operator: Thank you. The next question is Juan Sanabria of Bank of America. Please go ahead.
Juan Sanabria – Bank of America: Good morning, guys just a couple questions. I guess from starting with guidance first, do you have any update to the previously stated ranges. I guess for same store NOI and or occupancy for the year?
Greg Andrews: Good morning, Juan. No we didn't change those, so we are comfortable with those ranges. Obviously year-to-date on same-center NOI, we are at 3.5%, so we may be able to stay in the high end of the guidance range we previously gave, but we haven't changed those ranges.
Juan Sanabria – Bank of America: Okay and then with regards to acquisitions and dispositions, you sort of said that you're targeting $50 million to $70 million of dispositions in the second half, is that basing the guidance and if not, how should we think about that, is that really just for sales of potentially financed or help finance second half acquisition or not necessarily so and those who would be funding the deals, that you just announced post second quarter end?
Dennis Gershenson: Well, it's a combination of all of the above. Number one, it is included in our guidance. The dispositions are still part of a plan that we had in place, whether some of them we move from 2015 into 2014 but it is an attempt either to sell assets that just move either no longer fit our criteria for the kinds of shopping centers that we wish to own or represent some out loss that we can sell at incredibly aggressive prices. And therefore, we are just going to take advantage of an environment where there are an awful lot of perspective buyers out there, who are willing to pay more aggressive prices. Obviously, as we did with the one sale we had in the second quarter, we will use those proceeds to fund our business plan for the second half of the year, be that acquisition, be it the completion of our Lakeland's development or some of our redevelopments.
Juan Sanabria – Bank of America: Great and just to be clear, the acquisitions are not included in guidance just the dispositions, to go forward?
Dennis Gershenson: Everything that we have planned for the balance of the year including any potential acquisitions are included in our current guidance.
Juan Sanabria – Bank of America: Okay, great and just last question. With regards to dispositions, what's the geographic target and maybe if you could talk about your plans for the exposure in the greater Detroit area and how pricing is there relative to sort of your initial expectations, when you first thought about maybe decrease in the exposure there. Now you've got that target of below 25% for any one particular market. If you could just give us some color there.
Dennis Gershenson: Well, one thing I can tell you is that there are really, the type of assets that we own in Metropolitan Detroit are still really not trading. I think that, you have owners in Metropolitan Detroit who have very successful centers. I believe that ours of course are of the highest quality and as I believe, we stated in prior calls. Although, there will be some Michigan sales involved in our disposition. We'll achieve that ratio both from asset sales and acquisitions as well as the completion of some developments and redevelopments. So we are going to drive our income in other areas, which will help reduce that number, but I think if you look down our tenant roster, you will find several Michigan assets that still follow to the category of the type of sellers that no longer fit our criteria for ownership going forward and you can expect that we wouldn't be to sell some of those. Just lastly, relative to pricing although there isn't real clarity yet in pricing in Metropolitan Detroit. I can tell you that, as we talk to people about the assets that we are looking to sell, the cap rates have come down from what we’re looking at six months to a year ago.
Juan Sanabria – Bank of America: Great, thank you very much for the color.
Dennis Gershenson: Thank you. Juan.
Operator: Thank you. Our next question is from Vincent Chao of Deutsche Bank. Please go ahead.
Vincent Chao – Deutsche Bank: Hi, everyone. How are you doing? I just had a question, just going back to the acquisition pipeline. You mentioned, Dennis a couple deals that you're looking at currently, but I'm just curios what the deal pipeline in Minneapolis specifically looks like, I mean that does look like a nice market for you. I'm just curious how much opportunity there is, in that market in particular?
Dennis Gershenson: Well, first of all. Good morning, Vince. We have liked the Minneapolis-St. Paul area for quite some time. It's somewhat harder to shake lose opportunities in that area. We've looked at a couple of deals that are either in the market or that are coming to market, that are incredibly aggressive with price. And we are not going to pursue those, there are other though that we know will be coming to market in the not too distant future. We are already talking to the sellers, it's tough for up market feels in a very competitive market place because the seller wants to make sure that he doesn't miss a buyer, who might be willing to pay an outrageous price for some reason other than just, the way we will look in that position, but the potential acquisitions that I just mentioned are not in the Minneapolis-St. Paul market, but we are looking at beefing up in several of the newer markets that we have entered over the last 12 months to 18 months.
Vincent Chao – Deutsche Bank: Oka, thanks that's helpful and just given the comments about the cap rates that are kind of compressing, you mentioned cap rates on these two deals are being a little bit tighter than what you're buying last year. Just curious what IRR's you're underwriting through these days?
Dennis Gershenson: Well, we are still underwriting to at a minimum high single-digit. IRR's, if not low double-digits. Again you have to appreciate that when we look at these centers and when we make these acquisitions off times they have not an insignificant amount of excess land, the ability to add value through the construction of additional square footage, those really are components in driving what we see as again, maybe as much as 100 basis to 150 basis points to our return.
Vincent Chao – Deutsche Bank: Great, okay and then just last one from me. I'm just curious, the Illinois market occupancy levels there are little bit lower than the overall portfolio averages, just curiously your comment on the trends that you're seeing there?
Dennis Gershenson: Well let me just say this, we are seeing real traction in our leasing, in Illinois and I think that you will see either in the third or fourth quarter, a very nice uptick in our occupancy there, either with leases that we've presently signed or leases that are at least in LOI stage, if not active leasing negotiations.
Greg Andrews: Remember, then we bought two centers last year there that were in the low 80% occupancy range. So we – that contributed to the lower occupancy there but we bought them with the intent of leasing those up and those activities are currently underway, so I think you'll see to the outcome come forth, that are coming quarters.
Vincent Chao – Deutsche Bank: Okay, great. Thanks guys, that's all I had.
Operator: Thank you. Our next question is from Michael Mueller of JP Morgan. Please go ahead.
Michael Mueller – JP Morgan: Hi, just going back to the acquisitions real quick, so you typically have input acquisitions in guidance from what I recall, but it sounds like you have somewhere near now. What exactly is in there for the balance of the year? I know you said that, when you expect to closes in there, it sounds like you have 50 to 75 on assets sales in there, but I'm just unclear about on the acquisition side?
Greg Andrews: Yes, I mean what's in there Mike is basically offset to the dispositions. So and I think, it'd be ish range.
Michael Mueller – JP Morgan: Got it. Okay. That was it. Thank you.
Operator: Thank you. The next question is from Jeff Dancey of Cutler Capital Management. Please go ahead.
Jeff Dancey – Cutler Capital Management: Thanks, good morning. Well, a lot of questions about acquisitions and that's what I was going to actually about as well, can you give a little more details on the mortgage that you assumed?
Greg Andrews: Yes, Jeff. We assumed a mortgage on Bridgewater at, it was $58.6 million. It extends to 2022, it's about eight years and has a rate of 5.7%.
Jeff Dancey – Cutler Capital Management: Okay. And do you have any plans to put any debt on Woodbury in the near term?
Greg Andrews: No, we're it's an unencumbered property, we'll add it to our pool of unencumbered properties.
Jeff Dancey – Cutler Capital Management: Okay and then so I guess long-term, once Bridgewater is paid down, you would ideally not put another mortgage on it?
Greg Andrews: Yes, I mean as year from now but in generally financing a company at the corporate level rather than the asset level.
Jeff Dancey – Cutler Capital Management: Okay, great and what is your firm level debt-to-capital or debt ratio? Your target?
Greg Andrews: Our target, the way we think about it predominantly is in terms of net-debt-to-EBITDA and we've stated I think numerous times, that we are comfortable kind of in the 6 to potentially tie 7 times debt-to-EBITDA. We've been tracking for probably a couple of years at least in the low 6 net-debt-to-EBITDA until this quarter, we were a little below that but with the acquisitions we've just made. We are probably just above that, so that's the range we are still comfortable in Jeff.
Jeff Dancey – Cutler Capital Management: Okay, so when I think about new acquisitions that you make, how much of that should I think is financed with debt and how much should I think financed with equity, just from penciling out the economics on these acquisitions?
Greg Andrews: Yes, I mean I think you should make an assumption that we are going to try to maintain our current ratios. So that would typically mean 40% to 50% debt and the balance equity.
Jeff Dancey – Cutler Capital Management: Okay. And when you talk about dispositions, what type of cap rates should I think about for those?
Dennis Gershenson: Well, it will fall into several categories. If we're selling and we have a significant number of net leased out lots to very high credit quality banks, restaurants and users of that type. So in that area, you can think of either from mid-5's to low 6's. as far as shopping centers, it will depend upon obviously who the anchors are and what the credit quality of the anchors are and there you can probably somewhere in the 7's is where you can assume the cap rate will be for our dispositions.
Jeff Dancey – Cutler Capital Management: Okay, great. All right, thanks for answers.
Dennis Gershenson: Thank you.
Operator: Thank you. Your next question is from Ben Yang of Evercore Partners.
Ben Yang – Evercore Partners: Hi, good morning. Thanks. Lots of questions on acquisitions, so sorry. If you're going to hear another one from me, but I was wondering if you could talk about the thought process behind and trending new markets like many say Minne -St. Paul mentioning versus you mentioned beefing up some existing markets because I mean are you guys will enter into new markets with really no plans for additional acquisitions, if you do figure acquisition criteria?
Dennis Gershenson: Well I think, first of all good morning, Ben. There is many question that part of our analysis is that, if we are going into a new area, they must have at least several, not just a couple but several pockets of trade areas that meet all of the criteria's that we are looking for in order to make acquisitions. As you can see in Cincinnati. We moved into Cincinnati, as we said in less than of approximately seven months, we bought second asset. We believe, there is a minimum of another couple of opportunities in the Cincinnati area with trade areas that we find very desirable. Where we would like to have assets that will not cannibalize the existing assets that we've acquired. So it is in the Minneapolis-St. Paul area, that there are host of opportunities there that we will pursue, we have now established number one credibility that we are good buyer in that market. We have worked with a number of brokers in sourcing this opportunity and therefore, they're out there looking for others that we can buy that meet our general criteria. As I said, it's a little tougher in the Minneapolis-St. Paul market to source centers, but we are looking there. We are continuing to look in Colorado. So it will never be an approach that we use, that will say boy we've found a perfect opportunity for a one-off in a particular state or particular metropolitan area and that's going to suffice.
Ben Yang – Evercore Partners: Okay, fair enough and then also I think, you mentioned that Bridgewater and Woodbury were marketed sales. Can you maybe talk about the other bidders in the mix? I mean, where there other REIT's taking a look and also talk about maybe how the act, changed during the marketing process for those centers in particular?
Dennis Gershenson: Well, the process typically as everybody submits, then they go back to truthfully [ph] for organizations that they believe, not only are prepared to increase their price. So that when we put in our initial offer obviously that isn't going to be our best offer, but they're really looking as sellers and price is one element. We've won a number of these competitions, not by being the highest price offer, but because people know when we've established a reputation that we are one not a re-trader and two; we are an executer. So there is a lot of factors that come into the process when a company is selling a center, as far as competition. I think we are finding more competition from the representatives for institutions than we are for other REIT's. although, we have run into a number of our peers and whatever they did, during their very preliminary due diligence to establish valuations. We put a whole team on the ground, even before we bid for the asset to validate market rents. We obviously have a very good relationship with the lion share of the anchor, so that we can at least get a feel for how they're doing and their prospects for their future and we have our team, who look for value add opportunities, so that we really have a pretty complete picture, when we put in our initial bid.
Ben Yang – Evercore Partners: Got it and there was a seller when did they began marketing the process, I'm just trying to get sense of how long this process, will take toward you guys to close these deals?
Dennis Gershenson: While usually the process is around 30-day to 40-day bidding process. Our normal due diligence process after that is 30-day sometimes, up to 45-day and then 15-day to close.
Ben Yang – Evercore Partners: Got it. So about three months.
Dennis Gershenson: Yes, the whole process is probably a 3-month.
Ben Yang – Evercore Partners: Okay, it's helpful. Thank you.
Operator: Thank you. (Operator Instructions) and the next question is from Chris Lucas with Capital One Securities. Please go ahead.
Chris Lucas – Capital One Securities: Good morning, guys. Greg, a quick question for you on guidance specifically related to G&A. I have in my notes, you got a $23 million for the year and I couldn't remember, if that included or excluded acquisition related expenses?
Greg Andrews: Well, when we gave our guidance we had not included any acquisition in the guidance, so it was also not included in G&A. so I think you can expect that number to be a little bit higher for the full year.
Chris Lucas – Capital One Securities: But if I exclude it, let's talk about excluding this acquisition expenses and you sort of running wide relative to sort of pro-rated number, should we expect sort of the non-acquisition related G&A cost to be higher than the current run rate for the remainder of the year?
Greg Andrews: Yes, well I think yes there is some timing issues in there, Chris. So we were a little lighter in the second quarter, but we really haven't, there haven't been sort of significant change to alter the full year guidance and about that $23 million number.
Chris Lucas – Capital One Securities: Okay, great. Thank you. And then, on the acquisition and sorry to keep going back there but, the vintage [ph] is sort of peak off last housing cycle, as securities certainly look very next year, theoretically anyways would be big lease expiration year, 10 years out. I know if that's the case, but I'm just kind of curios to what your sense is of mark-to-market on the two assets, as it relates to the in place rent?
Dennis Gershenson: Well, again we do an extensive job of researching the rental rates, the shopping centers is compared to markets. Let me say this, we are in negotiations now to bring to several additional retailers to the shopping centers or each of the shopping centers and those rentals rates are above the not only market, but above the average at the shopping centers. So I would say, if anything that the rents in both of these properties at this point are below market and we should be able to continue to increase those numbers over the next couple of years.
Chris Lucas – Capital One Securities: Great. Thanks a lot, guys.
Operator: Thank you. (Operator Instructions). There are no further questions at this time. I'll turn the floor back over to the management for any closing remarks.
Dennis Gershenson: As always, we appreciate your interest and your attention. We are excited about the balance of the year and we look forward to either seeing you in a conference or talking to you in about 90 days. Thank you.